Operator: Good morning, ladies and gentlemen. And welcome to the West Fraser Q1 2020 Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and- answer session [Operator Instruction]. Forward-looking statements during this conference call West Fraser's representative will be making certain statements about potential and future development. These forward-looking statements are intended to provide reasonable guidance to investors, but the accuracy of these statements depends on a number of assumptions, and it's subject to various risks and uncertainties. Actual outcomes will depend on a number of factors that could affect the ability of the company to execute its business plans, including those matters described under risks and uncertainties in the company's annual MD&A, which can be accessed on West Fraser's Website or through SEDAR as is supplemented by the company's quarterly MD&As. Accordingly, listeners should exercise caution in relying upon forward-looking statements. This call is being recorded on Tuesday, April 29, 2020. I would now like to turn the conference over to Ray Ferris. Please go ahead.
Ray Ferris: Thank you operator. Good morning everyone and thank you for joining us today. With me is Chris Virostek, our Chief Financial Officer as well as Chris Mclver, Our Vice President of Sales and Marketing and several other members of our executive team. I will make a few opening comments and then Chris Virostek will review our first quarter results and some additional remarks. As we manage through this crisis, I think it's important to clearly communicate what our priorities here are at West Fraser. Our first priority is the health and safety of our employees and the communities that we operate in. Without delay, we aggressively eliminated travel, impose physical distancing measures, improved cleaning and hygiene regimes and in collaboration with our industry competitors and regulatory bodies developed and implemented industry-leading exposure control protocols, that would protect our fellow employees, should and when an event take place. It also ensured that self quarantine expectations were effective and being followed. We adjusted our production schedules where necessary to accommodate both protocols and employee needs and successfully executed and having almost our entire corporate personnel working from home. These measures coupled with strictly following the Health Authorities direction have kept our employees and communities safe. Being designated in essential industry is not something that we take for granted and we take our community responsibilities very seriously. Our next priority is to ensure that we are operating our businesses responsibly. In the middle of March and through April in response to the rapidly changing market demand we significantly reduced lumber and plywood production in Canada and we continue to adjust our operating schedules in both the U.S. and Canada weekly as necessary. We're able to accomplish this while retaining our best safety performance in the history of the company both for the year of 2019 as well as for the first quarter of 2020. I will provide further comments after Chris's overview of our Q1 operating results.
Chris Virostek: Thanks Ray. We reported $127 million of adjusted EBITDA in the first quarter as compared to $80 million in the fourth quarter of last year. Results improved in both the lumber and pulp segments while demand challenges associated with COVID-19 dampened panel results especially plywood. Operating earnings increased by $44 million from a loss of $31 million in the fourth quarter to income of $13 million in the current quarter. Turning to the drivers of the results. We saw improved lumber and pulp pricing compared to the previous quarter which lifted results by approximately $52 million. Volume had a negligible impact overall as changes across the various segments largely offset one another. Cost inclusive of fiber, manufacturing and administrative costs were up slightly on the quarter. On the key metrics for the quarter, lumber production was up 78 million board feet to 1.5 billion board feet. Late in the quarter we slowed SYP and SPF production as a result of the COVID-19 situation. Shipments lag production by 75 million board feet with the key issues being in SPF as rail blockades earlier in the quarter challenged rail car availability for a period of time. Our SYP shipments exceeded our SYP production as we lowered inventories while on the reduced schedules at the end of the quarter. With price and operational improvements adjusted EBITDA increased by $47 million from $80 million to $127 million. Cash flow from operations was a use of $162 million as we used $195 million to build log and other inventories as is the seasonal trend. Receivables were also used in the quarter as shipment levels at the end of the fourth quarter were very low during the holiday period. Before the impact of changes in working capital, cash flow from operations improved by $53 million to $114 million when compared to the previous quarter. As compared to the same period in the prior year which is more comparable from a seasonal standpoint cash flow from operations was $106 million improved. CapEx decline from $87 million in the fourth quarter of 2019 to $59 million in the most recent quarter. We have delayed or deferred most discretionary capital that has not been started. Our focus on maintenance capital and the orderly completion of strategic projects currently underway which remain on track and which we believe will provide significant benefits over the long term. Net debt increased by $274 million and represents 33% of total capital; a slight increase from year end but well within parameters. At the end of the quarter we had U.S. $407 million of cumulative duties on deposits. Last Friday the DOC announced that it is tolling all administrative review processes for at least 50 days which will likely extend the finalization of administrative review 1 rates and any potential change in duty rates from August until September. Finally, I'd like to touch on our liquidity situation. At the end of the quarter, we had $294 million of available liquidity at a point in time when we have largely wrapped up our winter 2020 logging activities in Western Canada. On April 9, we secured an additional $150 million revolving credit facility bolstering our available liquidity to a PRO FORMA $444 million as of the end of the second quarter. The new credit facility matures in 2022 and provides additional flexibility in the current uncertain times. We have no other significant debt maturities until 2024. We remain well on side with our financial covenants in the credit facilities. Additionally, we are due approximately $125 million of tax refunds on account of prior years. We have shifted now as well into the seasonal period where logging activities are limited and we will be consuming the log decks we have accumulated in Western Canada. Over the past several weeks various levels of government have also implemented a number of temporary payment deferral mechanisms that will provide a boost to liquidity during the second and third quarter. Through the first four weeks of the second quarter we have seen reasonable levels of demand for lumber and pulp and while on reduced schedules have made significant progress in reducing inventories across our operations. If the trend continues we would expect available liquidity to improve as the quarter progresses. With that I'll turn it over to Ray for some closing remarks.
Ray Ferris: Thanks Chris. So there are a number of economic forecasts out in the public realm that describe anywhere from a sharp V type recovery to one shaped like an L. The COVID-19 is an unprecedented event and it is uncertain at best what the recovery may look like and from our perspective is premature if not impossible for us to provide any credible views at this time. Saying that in the midterm we do expect markets for forest products to be difficult; choppy and lumpy. During these times as in past recessions both our product and geographic diversity of lumber, plywood, pulp, MDF and LVL is a strength which allows us great flexibility to adapt to the available market. Our final priority must be to ensure that our balance sheet remains strong as we manage through this downturn and eventually prepare for an economic -- return to economic growth and growth of the company. As we look forward into the coming quarters and the impacts of COVID-19 become more clear, we will adjust as necessary all available capital allocation levers in order to maintain a strong balance sheet and ample liquidity. Finally, I want to recognize our employees that delivered strong health, safety and operational performance across our entire platform at West Fraser. We are very proud of our health, safety and productivity accomplishments and pleased to see the results of our capital margin improvement projects coming online. Our employees continue to demonstrate, they are up to taking on any and every challenge directed to them including COVID-19. It is our employees that I must thank for being so resilient and dedicated in making the business stronger while adapting to a rapidly and constantly changing environment. With that thank you and I'll turn it back to the operator for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Mark Wilde from Bank of Montreal. Please go ahead.
Mark Wilde: Good morning Ray. Good morning Chris.
Ray Ferris: Good morning, Mark.
Chris Virostek: Good morning.
Mark Wilde: Ray, I wondered just to start out, if you could just kind of walk us kind of through the distribution channel in terms of what you see for kind of demand at the middle level, what you're seeing at the other end in terms of kind of customer builder takeaways and then what you think is happening to just supply and the inventory channel, inventories and the distribution channel? 
Ray Ferris: Well, good morning Mark. I'm going to ask Mr. Mclver to take that one if that's okay?
Chris Mclver: Yes. Good morning, Mark.
Mark Wilde: Good morning, Chris.
Chris Mclver: It's actually quite interesting what's happening right now. We're seeing it's pretty product specific as far as takeaway but I would say generally we've seen major destocking on the distribution side on a customer end including some of the big pro-dealers moving product from site to site to just reduce their total inventories. Anecdotally we're hearing from them that business depending on the product is as good as it's been all year right now. But they're not buying a lot. So they're waiting to see what's going to happen. We have good order files, pretty much in all our products right now. Most recently we've seen plywood beginning to come back as Eastern Canada talks about reopening. By far, the best product that we have on the wood product side right now is our southern yellow pine. Tremendous demand from treaters and retailers at this time. So we're reasonably well sold on all our products. And of course pulp has been very good.
Mark Wilde: Okay and then Chris Virostek, I wondered you mentioned these potential deferral programs in both the U.S. and Canada I know a lot of this stuff has not been finalized yet but could you just walk us through the three or four that you're watching most closely that would have the biggest impact for you in terms of helping your cash flow this year?
Chris Virostek: Yes, and I think on these they are just deferrals, right? So they are temporary in nature and I think to your point like these things vary from three months to six months to a year to two years that probably evolves on the duration of those potentially how long this goes on. So and it's everything I'll say from every level of government; property taxes, sales and use taxes, corporate income taxes, payroll taxes. There's really been actually pretty good support from all levels of government to try to find ways that they can help. In the end, it is just the deferral and we will have to pay it in the future whether that's the third or fourth quarter or into 2021 and as for a sort of quantification of sort of each individual one, I think when we look across the landscape of all those opportunities through the second quarter it's maybe $20 million to $30 million and then it starts to unwind in the third and into the fourth.
Mark Wilde: Okay and just like I know that there's a deferral that's been proposed for anything kind of stumpage costs in Alberta and maybe some talk about this in BC, how big would those be for you if you get like a six-month deferral?
Chris Virostek: It would be a big chunk of the number that I just quoted like maybe half.
Mark Wilde: Okay. All right. I guess, the last one for me is if you could maybe just talk a little bit about what's going on in terms of the export market to Asia for lumber coming out of Western Canada?
Chris Mclver: Mark, maybe I'll try that one -- again, it's Chris.
Mark Wilde: Okay.
Chris Mclver: We've been in the export market on lumber, primarily Japan and China for some time but what most recently what we've done is we're increasing our volumes to help diversify our transportation options and just to make sure that we've got orders in front of our mills. So Japan declared a state of emergency. Certainly they've slowed down some, but they continue to buy. We are seeing some builders putting their shovels down for a little while. China has come back very, very strong and we're selling pretty much all the grades we make over there right now and using various types of transportation to get there. So we've been quite pleased.
Mark Wilde: Okay. Just to kind of follow-on that China question, we hear about this spruce beetle wood coming in to the Asian markets from Europe. How much of a competitive issue has that been for you Chris?
Chris Mclver: It's certainly, I think 2019 it was quite a large competitive issue, but what we understand is most recently, I mean Europe's been through a pretty tough time. So we don't know how much manufacturing has been going on but on top of that their freight rates have increased dramatically and availability. So we're not seeing a lot of that product in Asia right now. I suspect over time it'll come back but at this time there's not that much there.
Mark Wilde: Okay. That's helpful. I will turn it over guys.
Operator: Thank you. The next question comes from Hamir Patel from CIBC. Please go ahead.
Hamir Patel: Hi, good morning. Chris Mclver, could you give us a sense as to how demand been faring in the R&R and industrials channels?
Chris Mclver: Well, again R&R is very difficult to get a strong feeling from but I would say again it is somewhat better in the U.S. and particularly in the U.S. South on R&R. We're seeing tremendous demand down there for that. Canada were less exposed to R&R as a company but we are seeing actually surprisingly strong demand for the products we put in there. Industrial, we are a little concerned about industrial as manufacturing slows down, we're a little concerned. We are seeing, we're certainly seeing the take away of our lower grades which end up an industrial fair bit but we do have some concern there.
Hamir Patel: Great. Thanks. And then Ray, I want to ask about the pulp maintenance downtime in the back half of the year. Given the ongoing precautions that you'd have to take, is that stretch out the duration of the expected downtime and the likely production impact?
Ray Ferris: Well, that's a good question Hamir. So here's what I would say is that, we're reviewing our maintenance downtime at both our NBSK mills. Of course we moved them both in the fall but, so we're really kind of going through that right now. I think our intention would be not to increase scope or time. So that probably leads us to potentially really focusing on the critical projects that we need to do and to defer things that we don't need to do. So at this time, I would say we don't think there's a big change from our overall kind of pulp shutdown for the fall and if we need to we'll reduce the scope a little bit in order to accommodate.
Hamir Patel: Okay. Great. Thanks Ray. That's helpful and Chris Virostek, I have got just last one for me. If this were to be a more prolonged downturn, what's the lowest you could take CapEx to on full year basis just thinking for 2021? I know you've got certain commitments for 2020.
Chris Virostek: Yes. I think probably looking back at where it's been before is a reasonable proxy for that. There's more mills now than there was in the last downturn. I think we've got out there in our public documents that maintenance capital would run as we would think about it is somewhere around $100 million. I think we've been fairly consistent in how we've described that. Look if it's a draconian situation and we got to do more and there's more downtime then obviously that gets adjusted but I think our view would be it's pretty consistent with what's out there in our documents as to what we spend on maintenance on an annual basis.
Hamir Patel: Great. Thanks, that’s all I have, I will turn it over.
Operator: Thank you. The next question comes from Sean Steuart from TD Securities. Please go ahead.
Sean Steuart: Thanks. Good morning. Question on your lumber production near-term outlook. You guys have pulled 2020 production guidance which makes sense. Is it fair to say though that, that May down time will continue at a similar pace to what you took in April where it looks like about 35% of your capacity was curtailed?
Ray Ferris: Yes, Sean it's Ray here. Good morning. Sean, I don't think I can answer for May, but here's what I would say is that I think you heard Chris talk that today markets are pretty -- were selling pretty much but a month ago that wasn't the case and so I think our view is that the market is going to be very-very choppy and it's going to be in and out as demand fluctuates and potentially even unwinds more. So I think what I would say is that our intention is to make sure that we are responding to the available market as needed and every week is another week right now. So what's going on this week may not be what happens next week. So what I would say is that, I think we're well-positioned to kind of respond to that as needed.
Sean Steuart: Thanks for that Ray and Chris Virostek, maybe you can give us a little context on the nature of the cost as you take this temporary downtime. I'm trying to gauge unit cost inflation over the next couple of months, I suppose it should take the downtime. What percentage of your costs would be fixed that you're carrying over that duration? And I guess, I'm just trying to benchmark this against the cost-benefit analysis and taking permanent or indefinite shuts versus these temporary rolling shift reductions.
Chris Virostek: Well, I think as we've done the last probably feels like 12 or 18 months now as we've looked at this is, when we do something that's permanent its permanent and that's based on the long-term assessment of the fiber supply in the region and the economic ability to operate that mill and that's why we made shift reductions in 2019 and announced the mill closure. For us doing something permanent it's got to be grounded in pretty set long term economic view about kind of what's going on. The temporary stuff, I think over the course of the last year, unfortunately we've had to learn a lot about this and probably get better at it than we really want to be in the long term in terms of taking down and starting back up. But I would say our calculus involves a number of things looking at where our order file is, looking at our investment in inventory, looking at the contribution on a variable basis, the age of the log decks, those sorts of things all around sort of preserving grade and the outturn that comes from the mill because if you idle indefinitely and leave the logs on the deck you're going to have a degradation of value there too. So there's a lot that would go into it I would say. The fixed element of the idling costs are actually quite manageable in our view because the logs make up the biggest portion of the cost in Western Canada. So I'm not sure if that answers your question but that's a little bit of kind of how we think about the approach to this.
Sean Steuart: That helps. That's all I have for now. Thanks guys.
Operator: Thank you. [Operator Instructions] The next question comes from Paul Quinn from RBC Capital Markets. Please go ahead.
Paul Quinn: Yes. Thanks very much. Good morning guys.
Chris Virostek: Good morning, Paul.
Paul Quinn: Hey. Just a question on sustainability of SPF lumber prices here, mid week was down 2 bucks down at 330 just wondering how sustainable you think this pricing level is given that we still have the high duties?
Chris Virostek: Well, Paul honestly we don't know. The demand seems to come and go and until we get a little more stable, I think it's really difficult to say but at this time we've seen enough demand to build pretty good order files.
Paul Quinn: Are you seeing any capitulation in some of the higher cost Western Canadian producers that would be maybe cozying up to some of the bigger companies in terms of potential M&A?
Ray Ferris: I will take run at that Paul. We're six or seven weeks into a crisis. I think people are trying to figure out how to operate. I can't speak for others but I think that's probably not the top priority. For most people it's kind of figuring out what's happened in the last six or seven weeks and responding it and trying to run your business plan. So perhaps down the road but I don't think that's front and center for most today.
Paul Quinn: Okay. Then just on a pulp side, you have taken some shots at Caribou. It seems on the fiber availability side with more the BC interior and other places taking some shots on the lumber area. I suspect fiber will get even more acute. Do you see Caribou up and down all the way through the year as a result?
Ray Ferris: I guess we'll have to wait and see, Paul. I would say that our focus would be it is to take as little bit downtime as possible. At this time we're certainly not planning any additional downtime at Caribou. It's hard to predict exactly what will happen on the fiber of side. So there's potential but I think our plans are to run and with the idea that any downtime that we take now helps us run later in the year and through next winter. So we're taking on that side take a bit of a longer-term view and how we want to run those facilities.
Paul Quinn: Okay and then just lastly on capital allocation. How are you thinking about share buybacks now with your current share prices?
Ray Ferris: I’m going to let Chris feel that one.
Chris Virostek: Well, I think given the uncertainty that's out there right now it's tough when you don't have an idea of what the next three, six months or 12 months looks like to take a view on that relative to how you want to manage your liquidity and continue to keep your mills in operating conditions. So I think until there's greater clarity it's pretty tough to see a case for doing something there.
Paul Quinn: All right. That's all I had. That's all I have got. Thanks.
Ray Ferris: Yes thank you Paul.
Operator: Thank you. Your next question is a follow-up up from Mark Wilde from Bank of Montreal. Please go ahead.
Mark Wilde: Yes. I have just a couple of follow-on. One just following on Paul there, in the MD&A you're pretty specific about kind of maintaining flexibility to kind of pursue kind of growth opportunities that might arise. I'm just curious, if you're going to grow in lumber is it a fairly safe assumption that the focus will continue to be the Southern U.S.?
Chris Mclver: So Mark, I mean, I certainly, if you look at kind of what we've done in the last number of years I think that's probably a pretty good indication of the kind of kind of -- if you look at the past but saying that – Mark, I think we're always focused on whatever will make our business better. And so I wouldn't just give it one geographic location but certainly whatever will make our business stronger we're willing to look at and are scouring all the time but we're certainly going to move to the areas where we think we can have the best opportunity and I know there's pretty good opportunity in the south for sure but those aren't the only opportunities.
Mark Wilde: Okay. That's fair. The other one I had is just a kind of a question on the pulp market. There have been some reports out recently suggesting that there's some pressure on the paper producers in China and that the Chinese pulp buyers are starting to push back particularly on NBSK pricing. I'd like to just get your perspective on what you see in the market right now.
Ray Ferris: Yes. Mark, I mean printing and writing for sure has taken a hit worldwide and China is no exception on that. We are somewhat fortunate that we are much bigger in tissue and packaging for all our mills. We are still seeing good demand, not tremendous pushback on any product. We have seen some price increases as well. We could see a slowing going into the summer which is seasonal. That's not unusual and sooner or later we do believe that printing and writing will have some effect on demand.
Mark Wilde: Okay. That's helpful. Thanks. Good luck for the rest of the year.
Ray Ferris: Thanks Mark.
Operator: Thank you. There are no further questions at this time. You may proceed.
Ray Ferris: Well, I just want to thank everyone for joining the call and listening to us today and we look forward to talking to you again in the next quarter. Thank you.
Operator: Ladies and gentlemen this concludes your conference call for today. Thank you for participating and we ask that you please disconnect your lines.